Presentation:
 :
Operator:   Ladies and gentlemen, thank you for standing by and welcome to the Q1 2020 Ventas Earnings Conference Call. At this time, all participant lines are in a listen-only mode. [Operator Instructions].   I would now like to turn the conference over to your speaker today, Mr. Juan Sanabrial.  
Juan Sanabrial:   Thanks, Cindy. Good morning and welcome to the Ventas conference call to review the Company's announcement today regarding its results for the first quarter ended March 31, 2020.   As we start, let me express that our projections and predictions and certain other statements to be made during this conference call may be considered Forward-Looking Statements within the meaning of the Federal Securities Law. The Company cautions that these forward-looking statements are subject to many risks, uncertainties and contingencies and stockholders and others should recognize that actual results may differ materially from the Company's expectations, whether expressed or implied.   Ventas expressly disclaims any obligation to release publicly any updates or revisions to any forward-looking statements to reflect any changes in expectations. Additional information about the factors that may affect the Company's operations and results is included in the Company's Annual Report on Form 10-K for the year ended December 31, 2019 and the Company's other SEC filings.   Please note the quantitative reconciliations between each non-GAAP financial measure referenced on this conference call and its most directly comparable GAAP measure as well the Company's supplemental disclosure schedule are available in the Investor Relations section of our website, www.ventasreit.com.   Before I hand the call off to Debra Cafaro, Chairman and CEO of the Company. I would like to note that, we posted an investor presentation this morning on our website, which includes a COVID-19 business update to this helpful information that the team will reference in our prepared remarks.   With those formalities out of the way, I will hand it over to Debbie.  
Debra Cafaro:   Thank you, Juan. and good morning to all of our shareholders and other participants and welcome to the Ventas' first quarter 2020 earnings call. I sincerely hope that, you and yours are safe and healthy.   Today, the Ventas team is working remotely, but we are together in spirit as we outline our outstanding first quarter results, describe the challenging conditions in the markets, the economy and or Company brought on by the terrible COVID-19 pandemic, discuss near-term business trends and evaluate the macro outlook.   At this time, we face unprecedented conditions nationally and globally created by the pandemic. Those of us in real estate has been around a long time have managed through many severe crises over the decades, including the 9/11 terrorist attacks and the great financial crisis, and the deep recession that followed both. Yet today's complex mix of public health, remote working, economic, operational and market conditions make this pandemic a uniquely challenging adversary.   Let me begin today by setting the stage and then outlining the swift and decisive actions we have taken to ensure that Ventas remains strong and stable. As we rolled into March, we were excited to see how our previously announced initiatives were gaining traction and making an impact and how well our overall enterprise and each of our business lines were performing.   You can see the power of our diversified business model in the strong normalized FFO per share results we reported today at $0.97 per share, inclusive of the financial impact of COVID-19 toward the end of the quarter. In short, we were hitting on all cylinders with terrific momentum.   As soon as, we realized the potential scope and impact of the novel Coronavirus in February and early in March, we identified as our key priority that health and safety of Ventas’ employees and their family and the employees patients and senior living residents in our 1200 healthcare sites.   Although this particular crisis reflecting unique combination of forces, our experience, deep analysis based on early real time inputs and core principles have given us a solid framework for action.   Here are some of the strong measures we have taken to preserve and protect the Company and the many stakeholders who depend upon us. We have devoted significant efforts to support our tenants and operators across our portfolio during the COVID-19 pandemic.   We have established financial support programs for those who are experiencing financial hardship. We have assisted operators, who may be eligible for complex and various government programs, and we have leveraged our national scale to help operators source supplies, including scarce Personal Protective Equipment or PPE.   And today, we have announced a powerful new initiative for Ventas Senior Living Operators. Ventas will be providing access to COVID-19 testing kits and analysis from Mayo Clinic laboratories without charge to certain of our senior housing operators to further enhance safety at Ventas communities by accelerating employee testing.   Ventas and Atria working through Atria's ongoing relationship have secured access to testing capacity in excess of 30,000.   Atria is already nearly done testing all of this 14,000 U.S. on site and regional staff with approximately 9,000 results in less than 1% of Atria's employee tests have been returned positive.   Combined with digital tracking and tracing and appropriate use of PPE, Atria is building a new normal model to run its senior housing business safely and thoughtfully. In a positive sign, Atria has moved in 300 residents since early March all under full quarantine and PPE protocol.   Ventas plans to make available to certain of its other operators at least 10,000 COVID-19 test kits and analysis from Mayo Clinic Labs, ESL will be the next Ventas’ operators to use this testing for its Ventas communities, and it is already getting ready to test all this staff in May.   We look forward to finding more ways to work with Mayo Clinic Labs and our operators to further enhance safety in our communities for residents and caregivers. We will continue to evaluate additional action as appropriate.   Second, on our action hit list, we move early to review and implement our pre-existing business continuity plan. So, we could maintain a high level of productivity and manage a seamless transition to remote working arrangements.   With an interdisciplinary team of Ventas leaders coordinating our efforts, strongly IT support and capabilities, full buy in by our employees and enhanced communication. The company experienced no downtime and we have been highly effective during these challenging times. I'm so proud of how Ventas employees have reacted in rally and I want to thank them for their extraordinary efforts.   Third, we are pleased that we have reached a positive consensual resolution of our Holiday lease. After receiving full rents from Holiday since lease inception in 2013, through the end of the first quarter 2020. We have now received an additional $100 million in cash and secured notes.   We have entered into a new management agreement with Holiday for a 26 independent living assets and we have terminated the Holiday lease all effective April 1. This management structure retains our upside in our 26 communities and provides us with operational flexibility. We appreciate Holiday management's engagement and cooperation to complete this transaction.   Fourth, we were excited to augment our leadership team with Justin Hutchens and Carey Roberts when they join Ventas on March the 4th. Justin and Carey have added new energy and insight to our tight knit group at this crucial time. They've already made many meaningful contributions to Ventas. As we have collaborated to analyze and attack the business challenges presented by the pandemic.   Our experience has instilled in us the importance of liquidity in a crisis. As a result, we shared the courage of our convictions in mid-March by drawing on our revolver and then issuing senior notes generating $3.3 billion in liquidity. This financial flexibility will serve us well as we manage through to the other side of the COVID-19 pandemic.   In addition, we further enhanced our financial flexibility by acting immediately to reduce 2020 capital expenditures by $300 million, mainly by pausing certain of our previously announced ground-up developments that were not yet substantially underway. We are also carefully reviewing other areas of our Company for cost savings, including general and administrative expenses.   At the same time, we promptly withdrew our financial guidance on March 17th, nearly two months ago, when our early analysis informed by real time data let us to conclude that our financial performance could be materially affected by the pandemic. Our foresight proved correct and we fulfilled our commitment to transparency to our stakeholders by the actions we took in a timely way.   Finally, Ventas has served and continues to work tirelessly as a proactive and evidence-based advocate for seniors as federal policy makers. Working with industry groups and in alliance with senior living CEOs, we are demonstrating the crucial role senior living care providers play in protecting our senior population that is particularly vulnerable to this novel Coronavirus.   While we have taken plenty of actions, policymakers have done exponentially more. The Fed, the administration and Congress have implemented a comprehensive array of bold policy actions to partially mitigate the virus' severe implications for public health, capital markets and the economy.   Many businesses and households, including many of our tenants and operators have already benefited from this arsenal of federal programs. With this powerful support and more financial relief likely to follow, it is our responsibility now to take action to safely and responsibly move our Company toward a new normal.   As we do so, our visibility is limited and uncertainty remains very high. Indeed, we faced the COVID-19 paradox on the one side, reputable models and even certain government projections show an expected increase in COVID-19 confirmed cases and mortality numbers in many jurisdictions. These expectations if they materialize, could derail even the best laid plans for economic recovery. And this morning we saw a historic levels of unemployment claims in the U.S.   On the other hand, there is palpable optimism in the air as most states plan staged re-openings of their economies and businesses, many companies including ours are preparing for a gradual return to office work, patients and physicians are scheduling appointments in elective procedures, families are making deposits for senior housing move in, universities are planning to welcome students in the fall, and most importantly, our best scientific and medical minds are racing to find treatment, cures and vaccines for the Coronavirus.   We are proud to say that, many of our key research and innovation university relationships and tenants, including Duke, Wake Forest, Penn, Yale, and Integral Molecular are at the forefront of this research. All these promising developments provide hope for a speedier and sustained bounce back.   We don't have to know how these opposing trends will play out. Our job is to preserve and protect our Company and our stakeholders, and be ready for a variety of scenarios and opportunities. Before closing, I want to address our dividends in the context of this COVID-19 uncertainty.   As you know, we declared and paid our last quarterly dividend in April. Because we normally pay our next dividend in July, our board will consider the dividends in mid to late June. As it always does, our responsible and experienced board will make a decision using it is good faith business judgment, taking into account all of the information available to it at that time.   In a situation like the fast moving rapidly changing global pandemic, we have the advantage of aggregating and analyzing the best and most current information available in order to make the optimal decision.   The cycle test events as team and the Company are well prepared to manage through current conditions and to take further action as necessary. Guided by our experience, analysis and ethics, we will safeguard our employees, our senior housing residents and caregivers, our capital and our reputation, so that Ventas will remain a leading healthcare property owner in the businesses and geographies where we invest a desirable employer and an attractive investment vehicle.   And now for the first time, I'm pleased to ask Justin Hutchins to address you about Venta’s senior housing business.  
Justin Hutchens:   Thanks, Debbie. Let me just start off by saying I'm extremely excited to be working with the Ventas team. Given the circumstances, I have certainly had the opportunity to jump right in and immediately put my operating experience to work.   I'm also happy to be working again with long standing colleagues and industry leaders like Atria, Brookdale, SDL, Holiday, and Sunrise. COVID notwithstanding, I see great opportunities ahead for Ventas in its senior housing business.   In my first Ventas earnings call, I would like to discuss the momentum of our SHOP, the same-store portfolio showed in the first quarter. Outline how Ventas has worked with integrity to support our tenants and operators during a very challenging time. Describe the operational and clinical environment in SHOP, in triple-net, delve into April and May trends and provide our outlook for safe and staged reopening in senior housing.   Our SHOP portfolio started the year ahead of our expectations and with good momentum. Sequentially, NOI and our same-store SHOP portfolio grew 2.3% in the first quarter with COVID costs embedded.   Without COVID impacts NOI grew 6% versus the fourth quarter, with credit due to solid sequential performance from Atria through strong rate growth and expense control, and some welcome stabilization from ESL.   As expected, the year-over-year same-store SHOP comparisons were negatively affected by six million in COVID costs incurred in the quarter. The reduction in occupancy as a result of COVID in the back half of March as well as the previously discussed lower star point heading into 2020. Ex-COVID costs the year-over-year, same-store NOI would have declined 6.9%, better than our expectations given the difficult prior year comparison.   While we are mostly focused on the impact of COVID-19 to our operating performance, it is worth noting new construction starts in senior housing continue to decelerate with the first quarter of 2020, having the lowest number of new starts in several years at 1,000 units in Ventas markets.   Moving to our support for senior housing tenants and operators. I have been proud that Ventas has been out front and willing to work with integrity in support of our senior housing tenants, who are on the front lines of caring for seniors. This support has taken many forms.   I will just focus on some creative programs we have offered to our triple-net tenants. The company offered support to its triple-net senior housing tenants affected by the COVID-19 pandemic by implementing a 25% rent deferral program in April to enable them to care for seniors, purchase needed supplies and pay employees. This program ultimately reduced April cash rent receipts by approximately $3 million.   Adjusting for this tenant support program, tenants paid substantially all triple-net senior housing rents in April. For the month of May, the company offered qualified senior housing tenants the opportunity to pay up to 25% of their rent with cash as escrows and security deposits and based on participating tenants, we expect about $2 million of our rent to be paid this way.   We are encouraged to see that, some of our tenants have availed themselves of government relief programs for which they are eligible. We will continue to engage in constructive ongoing dialogue with our triple-net tenants regarding their COVID-19 challenges on a case-by-case basis.   We have many tools available to us to work through a near-term conditions including our backstop of corporate and personal guarantees in over $100 million of security deposits that stand behind these lease obligations.   Turning to the clinical and operational environment. These trying times underlined the importance of partnering with true industry leaders. We have been inspired by the tireless work of our operating partners to keep seniors safe.   Senior housing operators across the industry continue to aggressively implement protocols to protect against COVID-19. The result of these protocols is that almost all operators are only offering virtual tours and at the present time, about 29% of our 400 SHOP communities have suspended their move-ins.   In terms of the clinical impact on our SHOP portfolio as of April 30, it is a tale of two cities. Having a large New York and New Jersey footprint is a strategic advantage for Ventas, but those States where the epicenter for the COVID-19 infection and mortality rate.   On a full portfolio basis, about a quarter of our SHOP communities experienced at least one positive COVID-19 resident diagnosis since the beginning of the pandemic, registering accumulative percentage of resident cases at slightly over 2% of the resident population. Excluding New York and New Jersey, these figures improved dramatically with only 1% of our residents cumulatively effective since day one.   In our triple-net senior housing portfolio benefiting from geographic diversification, the percentage of resident cases is 1%. As is best practice, the care providers to great lengths to isolate or transfer to a higher acuity setting, the limited number of residents who receive positive diagnosis.   Brookdale in particular has been compassionate, but also fairly disciplined and rigorous in its preparation for and management of COVID conditions for the benefit of residents and their families.   In SHOPs, as a result of restricted access to communities nationally, April move-ins approximated 25% of typical levels. While overall move-outs were largely in-line with historic patterns. April average occupancy was approximately 82.4%. As of May 1, spot occupancy was estimated as 80.7% representing a 330 basis points declined since the beginning of April based on interim information provided by Ventas operators.   When excluding New York and New Jersey, occupancy would have declined to 280 basis points. Operating expenses are trending around 10% higher, particularly for labor and supplies, including PPE. These revenue and expense trends we are seeing for April, are expected to continue in May.   Financial and operational trends are expected to be directionally similar for our triple-net portfolio in the second quarter. For senior housing overall, as we look beyond the second quarter, there are three critical considerations we are monitoring that will materially affect the outlook for senior housing.   One, timing of reopening of communities to physical tours and move-ins. Two, cost and access to labor. Three, local demand characteristics including evolving protocols required to protect against the virus. The timing of openings will be driven by state specific guidelines, CDC guidelines and local community considerations. Ventas along with our operating partners is closely tracking state specific guidelines and COVID infection curves in each of our markets.   I'm encouraged to report that we have roughly 300 deposits for move-ins, which is a good sign of ongoing demand for our senior housing communities. Senior housing operators will find success in many ways, including and most importantly building trust with prospective residents and their families by demonstrating a concerted effort to keep communities free of infection. To do so, we anticipate elevated levels of costs over the course of the next several months.   Trust and confidence in senior housing or the near-term will be supported with best in class infection control practices, availability of PPE and testing residents and employees. As Debbie described, Ventas has played an important role alongside our operators and tenants to combat into pandemic and helping operators prepare to open successfully.   Through this challenging stretch, we continue to resolutely believe in the long-term value that senior living offers residents and their families and are sharply focused on positioning Ventas’ senior housing business for long term success.   With that, I will hand the floor to Pete to discuss our office business.  
Peter Bulgarelli:   Thanks Justin. We are certainly glad to have you and Carey on board. I will quickly touch on the first quarter results for our office segment, which represents 27% to Ventas NOI and then focus on the latest trends in our latest second quarter COVID framework.   For the first quarter of 2020 office same-store cash NOI increased by 5.8% year-on-year. This outstanding results was fueled by our R&I portfolio, which grew 22% driven by strong lease up and complimented by strong performance from the MOB portfolio.   In R&I, first quarter average rent per square foot was up 9.4% and occupancy was robust at just under 97%. Strong performance at our university based developments affiliated with University of Pennsylvania and Philadelphia and Washington University in St. Louis fueled our growth. Complimenting the fast growing R&I business is our MOB business. MOB same-store cash NOI for the first quarter of 2020 increased 1.9% year-on-year, also above our expectations.   Now let's shift to the latest COVID trends we are seeing in our office portfolio. I will start with medical office. Our top priority has been to partner with our tenants and the associated health systems to ensure the safety of health professionals, patients and our employees.   We have sourced substantial amounts of PPE, coordinated visitor screening, licensed short-term spaces, set up drive-through testing centers in our parking lots, provide a supplemental cleaning and otherwise supported our tenants during this challenging time.   We are happy to report that all of our buildings are open and none of our site based employees have tested positively for COVID-19. We sincerely thank all of our on-site employees and partners who fight the fight every day. We are very proud of them. I will also say regarding our MOB business, that parking receipts have slowed and while safety concerns have caused an increase in cleaning costs.   Given the current uncertainty, the pace of new leasing has slowed. However, we still leased 573,000 square feet during the first quarter and 381,000 square feet during April, with an additional 200,000 square feet of leases at the letter of intent stage.   Also, tenant retention has increased. I'm proud to say that MOB reported record retention of 83% for the trailing 12-months, 90% retention for the first quarter, 94% retention for March and an outstanding 98% in April.   Turning to our R&I portfolio. Our R&I buildings are a 100% open and are supporting critical research focused on the detection, prevention, and cure of COVID-19. We are proud to be partnered with leading research institutions such as Yale, Penn Gene Therapy Center, Wake Forest Health Sciences, Virginia Commonwealth University, Integral Molecular, Alexion and others in fighting this virus.   And we look forward to expanding our portfolio with other leading research institutions such as Arizona State and University of Pittsburgh in new under construction, world-class research building.   As previously mentioned, our R&I portfolio is 97% leased with an active leasing pipeline. Last phase continues to be in high demand. Net-net as of April 30th, we had 91.5% occupancy in our office business, representing 150 basis points year-on-year increase from April 2019. From March 31st through April 30th, we experienced a 10 basis point increase in occupancy for MOB and a 10 basis point increase for R&I.   So, let's talk rent payments. During the first quarter, our tenants paid essentially 100% of the office rent. Our historical bad debt expense has only been 20 basis points. We have high quality tenants that pay their rent.   In April, our tenants paid 96% of office rents. We expect a significant proportion of the unpaid rent to be ultimately collected. And I’m encouraged that so far in May, our office tenants have paid nearly 80% of the rents due, to-date we are seeing a faster payment rate than what we experienced in April.   I will say the tenants experiencing the most pressure are the smaller third party position groups in MOB, the smaller private companies in R&I and retail. Taken together, these customer segments represent a relatively small portion of our office portfolio. We are supporting these tenants by raising awareness and assisting them with securing federal relief.   On a selective basis, we are also offering to differ May rent for these small tenants to be repaid no later than the fourth quarter. To-date only a small number of tenants who have utilized the rents deferral opportunity.   Supporting the durability of our office portfolio are a couple of our additional facts. First, our MOB portfolio is largely on campus 71%. We also have a high level of acuity in our buildings, with 88% of our physician tenants being specialists. Our buildings and our tenants are essential to the delivery of care during this difficult time. Less than 10% of our tenant suites closed during the pandemic.   Second, as of May 7th, over 80% of the MOB NOI is in states that have either reopened for elective procedures or have announced the resumption of elective procedures. In locations that have reopened, we are seeing material increases in activity, although still below pre-COVID levels.   As a reminder that our nation is resilient and that normalcy returns following catastrophes. I'm happy to report that Ventas is delivering [Technical Difficulty] that was devastated by Hurricane Michel in 2018.   With that happy news, I will pass the turn to Bob to finish up our prepared remarks.  
Robert Probst:   Thank you Pete. I will start with our triple-net lease portfolio overall before I close with some enterprise level commentary. The triple-net portfolio grew same-store cash NOI by 3.9% year-over-year in the first quarter. Growth was driven by in-place lease escalations, and a $3 million cash fee received in the quarter from capital senior living.   Trailing 12-months coverage as of the fourth quarter of 2019, for the overall triple-net portfolio for triple-net senior housing remains stable at 1.5 times and 1.1 times respectively. Post acute coverage declined sequentially by 10 basis points to 1.3 times, due to a decline in volumes at Kindred, driven by managed care and purposeful reduction of non-compliant patients.   Adjusting for the 25% rent deferral program in senior housing, we collected close to 100% of our overall expected triple-net portfolio rents in April. We have already received almost a 100% of triple-net healthcare rent for May and we are on-track with triple-net senior housing May collections.   We expect the impact of COVID on our triple-net healthcare rents from acute care providers to be muted in the second quarter. Acute care hospitals have been impacted by the reduction of elective procedures, but have had significant access to government funding and support.   Additionally for Ardent, as of May 1st, all 10 of the Ventas owned hospitals have reopened or will reopen in May for elective procedures. For the post acute providers in our triple-net health care portfolio, volume trends have varied. Deltek, Ventas has been higher than budgeted, the costs have increased. We expect that the concern over respiratory disease will enhance Kindred Deltek business going forward.   Urban census initially declined due to lower surgeries and acute care volumes, but census has improved since mid April. Smiths are experiencing notably higher mortality rates with census down dramatically and the most profitable rehab patients also down. Positive post-acute trends include access to government funding, relief from site neutral pricing, waiver of length of stay requirements and the 2% sequestration delay.   I will close with some comments regarding the overall enterprise and our financial position. I want to underscore how pleased we are with our first quarter results including property performance ahead of our expectations, record quarterly revenues, strong FFO delivery of $0.97 per share and enhanced balance sheet 5.7 times of net debt to EBITDA and excellent liquidity. And we took decisive action in the face of the pandemic to bolster our financial flexibility.   In March, we drew $2.75 billion under our $3 billion revolver and followed it up in early April with a $500 million senior note issuance. As a result, as of May 6th, Ventas has approximately $3.2 billion in cash and cash equivalents on hand with no commercial paper outstanding. We also have very limited debt maturing in 2020 or 2021 and we have the ability to extend our revolver for up to one year.   We plan to bolster financial flexibility by reducing 2020 total capital expenditures by nearly 300 million to a total of 500 million with the decline led by pausing ground-up developments not yet substantially underway. Notably one used to be in Philadelphia and 42/10 in St. Louis.   Our ongoing development projects are on average 81% free leaks to high quality credit tenants in the R&I business. I note that Ventas has a $400 million committed construction line of credit to fund development with $250 million of available capacity as of the end of March. Ventas is expected unfunded investment in all of ground up developments in 2020 net of committed financing is approximately $100 million.   In addition to conserving CapEx, the company is reviewing its cost structures across the enterprise, including its SG&A and organizational costs. As Debbie says, we are on it.   Given our early understanding of the potential impacts of the pandemic, Ventas went through a previously issued financial guidance on March 17th. We believe the adverse impact on our operating results and financial condition will be driven by many factors, most of which are outside of the Company's control and ability to forecast.   Wherever provide investors with incremental observations and transparency, we included today the investor deck outlining our COVID response and latest business trends, as well as expanded disclosure as summarized on Page 44 of the supplemental.   To close we are pleased with our start to year and with the actions taken thus far, and are committed to continuing to take the actions necessary to manage through these unprecedented times. That concludes our prepared remarks.   Before we start with Q&A, we are limiting each caller to two questions given a busy calendar request from a few analysts to be respectful of everyone on the line. Also, given the fact that we are all remote, we will have Debby quarterback to the QA and to pass questions to the Ventas’ team if needed.   With that, I will turn the call back to the operator.  
Operator:   [Operator instructions] Your first question comes from Nick Joseph from Citi.  
Q - Nicholas Joseph:   Thank you, I appreciate all the color and specifically on April and May rent collections for net lease. You addressed Holiday this morning, but you expect additional net lease restructurings over the next few months?  
A - Debra Cafaro:   Good morning Nick its Debby. I'm going to ask Justin to comment on that.  
A - Justin Hutchens:   Thank you Debby. First of all, I think it is important to know, our biggest priority is that our operators are looking out for the health and safety of our residents in our communities. That is priority number one, in the near-term.   I will also point two, as I mentioned in our prepared remarks that we have already started to take action, we mentioned the rent deferral in April, we mentioned the opportunity for tenants to pay down rent - pay some of their rent with their cash escrows in May and that the Holiday restructuring.   What we are committed to do is to take action that is going to give us the best opportunity to create value in a portfolio and work with our operators to determine the best outcome. It is still early, some uncertainty ahead of us still, but we will certainly be watching everything closely.  
Q - Michael Bilerman:   Debby it is Michael Bilerman.  
A - Debra Cafaro:   Hey Michael.  
Q - Michael Bilerman:   I think Bob mentioned in his comments about sort of looking at all forms of cost within the enterprise. Can you sort of address corporate management sort of pay levels and whether that is on the docket and how investors should think about that interest in the governance perspective, whether there would be any changes from the chairman and CEO role which you continue to maintain?  
A - Debra Cafaro:   Sure, and I'm happy to talk about that and turn it over to Bob, for a little bit more detail. But most of our executive compensation is very aligned with shareholders and is the vast majority of which is in the form of performance based equity compensation.   When you think about the overall enterprise, I'm going to turn it over to Bob to talk about some of the insights he has about making sure that the company is efficient and cognizant of the environment that we are in.  
A - Robert Probst:   Sure. This is an analysis Michael, that again pre-COVID that is the analysis of our SG&A. We are well underway in that analysis. Everything I would say is on the table, as we think about that. I would expect to have some more news this quarter as we are well underway on that analysis and we do see opportunity. But at the end of the day, we have a 20-year record of being efficient and effective and that continues to be our goal and we have a duty to make sure we are doing that.  
Q - Michael Bilerman:   And Debby is there anything on splitting the Chairman and CEO role?  
A - Debra Cafaro:   I think that, consistent with the idea that one of the cost efficient, our expectation is that, I would continue to hold those roles, obviously serving at the pleasure of our shareholders and our Board of Directors.  
Q - Michael Bilerman:   Okay. Thank you.  
A - Debra Cafaro:   Thank you.  
Operator:   Your next question comes from Rich Anderson from SMBC.  
Q - Rich Anderson:   Hey, thanks. Good morning everyone and hello to you, Justin.  
A - Debra Cafaro:   Hi, Rich.  
Q - Richard Anderson:   Hey thanks. Good morning everyone and hello to you Justin. So, just on the on the Holiday and maybe an extrapolation from that. So EBITDA below rent, so it is obviously a dilutive transaction. But understanding kind of the thought process on taking Sabra’s roadmap on Holiday. And so, I'm curious in the aftermath of all this, do you feel like net lease is becoming an increasingly dying breed for Ventas and you want more control that goes through Brookdale and others or is this a one-off type of thing and you still think that there is a role for triple-net to play in senior housing in the aftermath of all this?  
A - Debra Cafaro:   Good to talk with you, Rich. Let me take that. A couple of things. One is we are pleased with the Holiday transaction. We think it really does a lot of good things and we are happy to take a page out of our friends with matrices book, and we preserved that upside in the assets and a lot of operational flexibility. So, we feel good about that and look forward to optimizing that portfolio.   In terms of the triple-net lease, what I would say is, triple-net leases are a little bit like mortgages in one sense, which is that they magnify ups and downs for the operators and in any challenging environment, they are going to be disfavored. And of course that is the situation we find ourselves in now. In other environments, they could be very attractive to both land owners as well as the operators.   So, I think there is many tools in the bag, many I guess you would say clubs in the bag, tools in the toolkit, and the triple-net lease I think will continue to be one. And there are many ways that you can customize leases also to create alignment.   So, we think the triple-net lease will survive and we think we will continue to be creative and collaborative in how we work with our operators, be they tenants or managers in optimizing our portfolio and then being good partners.  
Q - Richard Anderson:   Okay. I prefer arrows in the quiver, but that is just me.  
A - Debra Cafaro:   That is a good one too. Absolutely.  
Q - Richard Anderson:   And then juxtapose U.S. to Canadian, particularly as it relates to your recent investment there. And how things are kind of performing relatively.  
A - Debra Cafaro:   Yes. I mean, our investment most, we have a significant Canadian portfolio. Obviously, the pandemic has affected assets there as well. Those operators have also received significant government support and one thing we have liked about the Quebec portfolio with LGM is that they have a younger healthier population a longer lengths of stay.   They are very rigorous and have been very active from early on working to protect the residents. Obviously, that portfolio will be effected as well. But there are some characteristics of the LGM portfolio that make it probably a better performer on a relative basis, despite being impacted by pandemic.  
Q - Richard Anderson:   Okay, great. Thanks very much. Good luck everyone.  
A - Debra Cafaro:   Thank you. great talking to you Rich.  
Operator:   Your next question comes from Nick Yulico from Scotiabank.  
Q - Nicholas Yulico:   Good morning everyone. So, in terms of the Holiday restructuring just to make sure understanding how this is going to work. I guess in terms of the money that you are receiving from them the cash, and then the notes and are you going to be actually booking any income from those two items in the second quarter and in terms of the notes, the 9% rate is there any component that cash interest that you are receiving?  
A - Debra Cafaro:   Great question. Yes, the cash and notes are effectively income and I think we mentioned this in the release and so those will be included in net income and yes we actually would expect as part of our ongoing this for ongoing notes we would expect to book and receive some amount of interest income as we go forward.  
Q - Nicholas Yulico:   Is any of that cash income from those notes?  
A - Debra Cafaro:   We would expect it to be cash. Yes.  
Q - Nicholas Yulico:   Okay, thanks. And then I was just hoping to get a feel for you I know you gave us a coverage on Holiday as a trailing number. Is it possible to get the quarterly first quarter EBITDARM for those assets so we can understand exactly from an NOI standpoint as you now have this operating NOI. What the delta is going to be between the old 60 million of cash NOI you got on the lease versus on a real time basis, realizing things are going to move around still, but at least on the first quarter number record what that looks like from a operating EBITDARM basis?  
A - Debra Cafaro:   Right, I mean we have had Holiday in the heat map, obviously and it had been below a 101 and EBITDARM basis. So, as we reported the last time and really what I would say is that just like everything else in the portfolio as you point out, it is really going to depend on how the pandemic really plays out and so I think we will just defer that as we get more real time information about the portfolio. I'm happy to talk to you about it as things progress.  
Q - Nicholas Yulico:   Right, I guess, but I mean you guys do have an actual number I'm assuming that for the first quarter and so I was trying to see if we can least get that number so we can use that as a base to then build off some assumptions.  
A - Debra Cafaro:   Yes, I mean, I think you should, you should look at about a 0.9 EBITDARM coverage, something like that in the first quarter, rough numbers.  
Q - Nicholas Yulico:   Okay. Thank you. I appreciate it.  
A - Debra Cafaro:   Thank you.  
Operator:   Your next question from Vikram Malhotra from Morgan Stanley.  
A - Debra Cafaro:   Hello.  
Q - Vikram Malhotra:   Sorry. I had myself on mute. I just hope everyone in the team is okay and doing well.  
A - Debra Cafaro:   Thank you.  
Q - Vikram Malhotra:   Debbie, you referenced the dividend in your prepared remarks and I just want to clarify one. I'm assuming the dividend is all cash today and just as we think about the dividend going to second quarter, what are sort of the metrics? What are you looking at? Maybe give us a sense of where AFFO versus the dividend could trend even just percentage wise. What are some of your put and takes if you think about the dividend?  
A - Debra Cafaro:   Thank you. Yes, I mean, I think really want to just touch on the fact that, while we are in this period of uncertainty, we generally want to match our decision making speed with what is required. And our Board is going to look at all relevant information when it addresses the dividend, as I mentioned in mid to late June.  
Q - Vikram Malhotra:   Okay. And the dividend is all cash currency.  
A - Debra Cafaro:   It has been. Yes, Vikram.  
Q - Vikram Malhotra:   Okay. And then just second, as you I think you and Bob outlaid the expectations for occupancy in the next few months and it was about a 100 basis points per month in the [RIDEA] (Ph) portfolio. Can you give it a sort of a broader sense of what the ins and outs are in terms of assumptions for move-ins versus move-out and as an aside, if we could request more monthly or more weekly updates, that would be great.  
A - Debra Cafaro:   I'm going to ask Bob to address that Vikram.  
A - Robert Probst:   Sure. I will give you some building blocks Vikram using April as our case study here. We saw move-ins approximately 25% of our historic levels or down 75%, to put the other way. The move-outs have trended pretty consistently with historical patterns and the net of that is approximately a 70 basis point impact on occupancy on a weekly basis.   One way to think about revenue impact is that, and this is the Page 7 of the investor deck. If you haven't seen this is, a 100 basis points of occupancy generally, sequentially on average is about $2 million to $3 million of revenue per month. So, you can do math there.   And we expect that trend as we see it right now to carry on into May. On the expense side, we mentioned about 10% OpEx increase, driven by labor and supplies including PP&E. We had about $125 million of monthly OpEx in our portfolio in SHOP. So, it gives you some more facts if you like to do the math.  
Q - Vikram Malhotra:   Okay.  
A - Debra Cafaro:   Vikram, we thought you love those rules of thumb.  
Q - Vikram Malhotra:   I guess I was just trying to understand the move from the 330 basis points loss in the month of April down to a 100 per month. And I was just trying to understand more specifically like what are you assuming changes from April to May through June?  
A - Robert Probst:   Let me clarify, just to make sure we are on the same page. The 330 basis points was the spot-to-spot effectively beginning to end of April, occupancy moves. And my 100 basis points was simply a rule of thumb to help you.   So, that is an important clarification, beyond what we are seeing in April and early May, I'm not able to project what I think is going to be for the second quarter, for example. But those will give you some building blocks to make your own assumptions.  
A - Justin Hutchens:   This is Justin. And I'm going to add a little color to that might be helpful and I will just preface this that I'm going to give you April average occupancy numbers that are presented by our operators and these are fully vetted, we only report these numbers.   But I'm going to compare March first. So March average occupancy was 85%, April average is at 82.4%. So, there is 260 basis points difference. If you take New York and New Jersey out, as I did in my prepared remarks when I was using spot occupancy, March average is 85.1, April at 82.9. So, the 220 basis point change.  
A - Debra Cafaro:   And that is shows the difference between really the quote and unquote spot, beginning of month to end of month versus the average occupancies for the month. So, let's carry on. Thank you.  
Q - Vikram Malhotra:   Thank you.  
Operator:   Your next question comes from Michael Carroll from RBC Capital Markets.  
Q - Michael Carroll:   Yes, thanks. Debbie, I just wonder if you could you add some color on the testing capabilities that you are providing your operators. I don't know if you said this, if I missed it, but are you able to provide enough tests for all the restaurants at the facilities or what in depth are you able to offer right now if that relationship?   
A - Debra Cafaro:   Great. Good morning. So, we are very excited about this initiative and we are taking the first step with Atria and it is really to accelerate employee e-testing at Ventas buildings with select operators to make our communities safer, and facilitate thoughtful reopening and confidence and trust as Justin talked about.   And so, we have this first compliment of 10,000 testing kits with Mayo Lab’s analysis, which is very important, they have a very high accuracy rate at Mayo, as you would imagine and we really think this is a great first step that we can make available. Atria has already done it, ESL will be next and we will make it available to select operators, principally for their employee testing program.   Once we see how that goes again, we are early days are, still a lot of uncertainty, new testing and tools coming out all the time, we will determine if we want to are-up or if we want to take a different step moving forward, but we think this is a great opportunity to do the right thing and really have a differentiated partnership with our operators and really build that trust and confidence with residents and their families that is so sorely needed.  
Q - Michael Carroll:   And then what is the turnaround time. How long does it take to get to tests and I guess if you have confidence that at least your employees are not affected by COVID. Is there discussion that you could reopen those communities or is it still too early to tell?  
A - Debra Cafaro:   The turnaround is a day or two and it will indeed build confidence as a component of the thoughtful reopening and admissions plan.  
A - Justin Hutchens:   And I will just add one other point to that. This is Justin. All of our operators are considering the move-in protocols at this point, and about 70% of our operators are operating in states that are starting to loosen their stay-at-home policy. So this is a very active conversation.   And the advantage that testing gives you, obviously it gives you a lot more certainty around the potential for spread of infection. But the other advantage is, it is recognized in the CDC guidelines. If testing occurs, then it can accelerate the time that someone can move in, where the regular quarantine is around 14-days and the testing allows for something closer to two or three days.  
A - Debra Cafaro:   Okay. Right. And that is a good point, because the test may also be available for new residents in certain cases. Thank you. Mike.  
Q - Michael Carroll:   Okay. Great. Thanks.  
Operator:   Your next question comes from Jordan Sadler from KeyBanc Capital Markets.  
Q - Jordan Sadler:   Thank you, and I hope everybody is doing well.  
A - Debra Cafaro:   Thanks Jordan. We are.  
Q - Jordan Sadler:   Okay. My first question I think is maybe for Bob, I will leave it to Debby to quarterback. But regarding the revolver draw down and I think some subsequent repayments post a senior note issuance in April. You did mentioned in your conversation that, Ventas is past the peak for mortality in your SHOP assets and in triple net.   And so, I guess I'm kind of curious, I know you are waiting till the last minute to make a decision on a dividend, but what do you want to see these to be the virus before in order to sort of pay down those borrowings and sort of what is that sort of draw down, is that reflecting concerns around the ability to potentially borrow?  
A - Debra Cafaro:   Well, I will turn it over to Bob, but one thing we know for sure is that, having went through many decades of this that, having assured liquidity is the number one, two and three attributes that you want to have to manage successfully through any kind of uncertainty. And so, we have that and that is kind of a golden rule, and it served us very, very well.   In terms of the pass of the peak, again, there are numerous models. There is a lot of uncertainty, but as of a point in time, I'm glad that you noticed data that shows that a lot of our NOI in our senior housing on those triple-net and SHOP is in states where according to a single model as of a certain day, the peak of mortality is behind us. Now that could change again and that of course would affect our outlook.  
Q - Jordan Sadler:   That is helpful. I guess I'm trying to understand the difference between, that assured liquidity as it relates to sort of that revolver borrowing or draw downs versus the dividend that you actually pay. So, there is some uncertainty surrounding the potential to be able to draw or have access to cash. But, it seems like you are not yet willing to sort of cut the dividend down to zero in order to sort of stay off or protect yourself from any uncertainty or maybe I'm misreading that.  
A - Debra Cafaro:   Yes. I mean, I think what we have said clearly about the dividends is that the board will make that decision at the right time, which are dividends is a July dividends historically and so that would basically defer that decision to be made by our board until mid to late June. So, do you have a question for Bob about the revolver draw just Jordon?  
Q - Jordan Sadler:   I think you answered it. But maybe you mentioned Justin. I wanted a welcome back to him back to REIT land. Unfortunately, under these crazy circumstances, but I would have asked him for a review of the portfolio probably not fully appropriate.   Debbie, a couple years ago, you spun off the skilled nursing portfolio at a time when there was no real distress in that sector. Any thoughts surrounding, management and or the potential spin of the seniors housing portfolio or are we just that way too soon, I don't mean to be flippant at all in that question.  
A - Debra Cafaro:   Yes, I think that under skilled nursing, I think I'm glad you reminded us that, that we really did that, at the absolute peak time in valuations at a seven cap on rent at that time. And we really continue to believe that was a very sound strategic decision, particularly as we look at infection mortality rates in skilled nursing now.   I think we given all the uncertainty right now we are focused on health and safety as Justin said really just strong effort to keep Ventas strong and stable and get ready for any scenario and the opportunities in the future. So, we will defer that discussion if you don't mind.  
Q - Jordan Sadler:   Okay. That is fir. Thank you.  
A - Debra Cafaro:   Thanks Jordan.  
Operator:   Your next question comes from Joshua Dennerlein from Bank of America.  
Q - Joshua Dennerlein:   Hey good morning everyone. Glad you are doing well.  
A - Debra Cafaro:   I clearly had too many people with the first initial J in my life. Anyways go ahead I will try to get it right this time.  
Q - Joshua Dennerlein:   I'm just curious on the Holiday switch to the management contract. Was that something you were in discussion with before the pandemic or was it really the pandemic was the drivers that kind of got you going on that discussion?  
A - Debra Cafaro:   Well, we have talked about Holiday for a while and have been pretty clear about what the performance was over the past couple of years. I think we were in a good spot, because Holiday remains current and paying full rent all the way through the first quarter and they have been great about that and we were the sole beneficiary of the guarantors.   So, of course, we had a EBITDAR kind of one-to-one coverage. So, we felt like we were in a good spot. But we did feel mutually that it was the right time to take a different approach and we did so in a way that we think was beneficial for both and preserved upside and on operational flexibility.    So, we are happy that we have done it, and we are going to optimize that portfolio especially now that Justin is here.  
Q - Joshua Dennerlein:   Okay, and then just on the senior housing triple-net rents. I see in your presentation you mentioned I guess sort of May rents are allowing up to 25% of the rent to get paid from the deposits, you expect two million or so to be paid. Do you have a sense of like I guess like back into it, but what percent of tenants are taking advantage of that and I guess later on would you require the tenants to kind of back fill those deposits?  
A - Debra Cafaro:   Right Justin.  
A - Justin Hutchens:   Yes. It is actually very low percentage, if you think about around 30 million of rent per month and only round two million or up to two million we think will be paid with the cash escrows s to carry deposits. So not a lot.   I will mention two other things on the triple-net, one is that as we said it is our May collections are really right on track, so looking good in May. Also some of April tenants that took advantage of that deferral have already paid back.   So that was good encouraging sign as well, and in that case, there were smaller operators that had advantage of government assistance. But our tap was to Allow some liquidity for operators during a very tough and uncertain time, and we are happy that some of the operators have taken advantage of that.  
A - Debra Cafaro:   Thank you.  
Operator:   Your next question comes from John Kim from BMO Capital Markets.  
Q - John Kim:   Hey good morning everyone and welcome Justin.  
A - Debra Cafaro:   Hi John.  
Q - John Kim:   I had question on your deposits, that were mentioned - deposits in senior housing, is there any difference regionally for the New York, New Jersey to have more of sure deposits than some of the other markets not impacted by the virus?  
A - Justin Hutchens:   Hello, this is Justin. Let me just mention first of all, we don’t normally track deposits, because senior housing particularly assisted living, and memory care are what we focused is need driven. So tracking deposits is usually a very short-term indictor of move-in.   But given the environment we started to track recently a lot of those deposits are in Sunrise and Sunrise has kind of a north east footprint with us. So there is certainly some New York and Massachusetts are few for our Sunrise footprint, a lot of those deposits are with them.   There is another stab I will mention, that is round lead which is something that we do track regularly and leads have stabilized over the past few weeks about half of our lead volume, which is you know encouraging in a sense, because it shows that there is still ongoing demand.   Even though we are not doing physical tours, and we are doing virtual tours and in-lue of those there is still ongoing demand and is ahead of that moving pace that we have been experiencing so far. But there is long answer to short question and that is not ready to really point out specific geographies except to say that Sunrise is a big part of those deposits.  
Q - John Kim:   And then Pete mentioned in his prepared remarks the high retention rate you guys had in the medical office business. Can you provide some terms on that, are these short-term, but month-to-month lease expansions and also what the cash leasing spreads were?  
A - Debra Cafaro:   Pete.  
A - Peter Bulgarelli:   So, John, let me just be sure that I understand what you are asking. Well, we talked about was 96% receipt of cash rents overall in the office portfolio. Is that what you are asking?  
Q - John Kim:   No. I was talking about the retention rates, the renewal rates.  
A - Peter Bulgarelli:   I see. Okay, so of our retention rates, yes, the 90% for the quarter and 94% for March and for April is at 98%, which is a phenomenal set of numbers. And yes, I would say it is a mix in some cases are short-term where they are just uncertain about their future.   And so they want to, just take a year extension. In other cases we use the opportunity to take advantage of maybe some rent relief in exchange for a couple years of additional term. So, we have been fairly entrepreneurial in doing that.   And then there is also some practical reasons, I will tell you kind of an interesting story of an [OVGYN] (Ph), who was 70 something years old who was going to retire. But then he sat back and he thought you know what with his shelter at home, maybe there is going to be a lot of bursts next time, in nine-months from now. So, I'm going to extend for one more year. I'm going to work and cash in on this opportunity. So, it is been a mixture of things.  
Q - John Kim:   Great. Thank you.  
A - Debra Cafaro:   Thanks John.  
Operator:   Your next question comes from Lukas Hartwich from Green Street Advisors.  
Q - Lukas Hartwich:   Great, thanks. Whenever we do come out the other side of the COVID pandemic. I'm just curious what you think the recovery in SHOP looks like. Do you expect there to be pent up demand or expect do you expect something more gradual?  
A - Debra Cafaro:   Well, I think our focus right now is really getting through the biggest part of the pandemic Lucas and then there remains really a lot of uncertainty about the depths and then the time period where it will be most active and then what the slope and pace to recovery will look like and those could very significantly affect what the recovery and senior housing looks like.   So, we are really happy for the day when we can discuss that with more specificity in terms of timing, pay and slope. But right now, we are focused on maximizing during the course of the toughest period of pandemic.  
Q - Lukas Hartwich:   Great and then the second one for me is just. Can you provide a little more color on the performance trends of the Sunrise shop portfolio?  
A - Debra Cafaro:   Justin.  
A - Justin Hutchens:   Yep, sure. So, I mentioned in my prepared remarks, the year-over-year stats that were down and the reasons for that, given the fact that we are starting off at a lower starting point. I also mentioned the strong sequential performance.   That performance was driven by Atria and ESL. Sunrise was not as big acontributor to that. There are some less good performance from the sunrise portfolio during that time, so it was actually contributing on a sequential basis, closer to down around 9%.  
Q - Lukas Hartwich:   Thank you.  
Operator:   Your next question comes from Omotayo Okusanya form Mizuho.  
Q - Omotayo Okusanya:   Yes. Good morning everyone. Justin, good to have you back from Jolly Old England old cap.  
A - Debra Cafaro:   Hi.  
Q - Omotayo Okusanya:   Hi Debbie.  
A - Debra Cafaro:   Good.  
Q - Omotayo Okusanya:   Good. I'm glad to hear that. A couple of questions. The first one is actually on the office side. The 96% of April rent collected, is there way you could help us break it down kind of what you know the rates of MOB versus Life Sciences or other differences there?  
A - Pete Bulgarelli:   Hey Tayo. This is Pete. How are you? So, the 96% we are very, very pleased with, and one of the items I did want to point out is that those are receipts. Deferrals are not included in that number, and as a matter of fact for April, there were almost zero deferrals.   We are talking like $150,000 worth of deferrals in April, and those were for retail tenants. So, this is true cash receipts and collected in a very positive way. The MOB Portfolio had a slightly higher collection rate for April and the R&I had a slightly lower number. But really nothing material.   It is interesting that many of the universities are just - they do hand checks. They actually write checks out and it is a slower process in a normal month and it is a slower process in a turbulent month. So, that is my assessment.  
Q - Omotayo Okusanya:   Okay.  
A - Debra Cafaro:   So. I mean those portfolios performed very well.  
Q - Omotayo Okusanya:   Gotcha. Okay. And then on the Life Sciences side, again very strong same-store NOI this quarter, again it has been a positive on the overall Ventas story. So I guess, a little bit surprised when we looked at the development pipeline that is the projects that were halted or all kinds of Life Science Wexford projects and there was one other projects also Life Sciences, where the completion date was deferred or pushed back a year. So, just kind of curious kind of thinking about that business that is such a big positive on your overall story. And again, a part of what is kind of happening on the development front later you know halting or delaying some of these development projects.  
A - Debra Cafaro:   You are absolutely right. We are happy that, we have grown our office portfolio in particularly this exciting Life Science University based portfolio over the past years, it is really, you are seeing the benefit of that right now.   Both in the fact that is where all the action is on the virus and the vaccines in the search for a cure, as well as the diversification benefits we are getting from that portfolio, within the broader Ventas Enterprise.   And so, it is a significant capital allocation priority. We do have a number of ongoing projects with Arizona State and [Pitt] to name a few. And basically, what we did as a matter of I think, really good discipline and approach is that, when we really understood quickly the potential from this Coronavirus, we aggressively paused on the two developments that really were not yet significantly underway.   And so the ones that are ongoing are going to be delivered and we will have our 80% pre-leased and the ones that are on the drawing board have been paused I think intelligently to take a look at capital conservation.   And of course, as I mentioned, we will be able to make a decision on those at the appropriate time as to moving forward and timing and the life, we are happy to have this portfolio and it will continue to be an important part of the Ventas’ story.  
Q - Omotayo Okusanya:   Got you. Okay. One more if you would indulge me. So, when Justin was announced as joining the team and you guys announced your kind of plans around senior housing stock outperformed that day. Today, you announced solid plans around Holiday the stock is outperforming. So, clearly, I think the market is looking for you guys to kind of rectify potential issues that people see in the portfolio.   Just kind of given that, I guess why you guys maybe not a little bit more aggressive in regards to kind of trying to address some of these issues, whether it is some of the triple-net portfolio that still has a weak rent coverage and things of that nature, it just kind of feels like the market is basically saying, do it. We are expecting you to do it, but in the near-term it is just doesn’t seem to be happening as quickly as I think some of us anticipating.  
A - Debra Cafaro:   Well, I would say that we over a long period of time have a good track record of taking action, and that we think is going to be beneficial for our shareholders and we have taken many actions to evidence that whether they have been with Kindred or today with Holiday and we will continue to do that.   We have made a ton of progress, we are proud of what we have done on the leadership front, as you mentioned along with the portfolio front and we will continue to do that with urgency and purpose. And hopefully we will continue to get rewarded for doing the right things at the right time.  
Q - Omotayo Okusanya:   Okay that is helpful. Well I just feel like the runway is clearly open and everyone is waiting for you guys to take off.  
A - Debra Cafaro:   Well, thank you. We appreciate that support. Our wings are flapping. Thank you, Tayo.  
Q - Omotayo Okusanya:   Thank you.  
End of Q&A:  
A - Debra Cafaro:   I think we have one more operator. Anything further? Okay, if we don't have any further questions, I want to sincerely thank you for your time, your attention, your interest in Ventas. We have a great team here that is really committed to protecting and preserving the Company and for really delivering for all the stakeholders who depend upon us. So, we look forward to seeing you on the other side of this terrible pandemic and until then, stay safe and strong. We will see you soon. Bye-bye.  
Operator:   Ladies and gentlemen, this does conclude today's conference. Thank you for participating. You may now disconnect.Ventas, Inc. (VTR) Q1 2020 Results Conference Call May 08, 2020 10:00 AM ET  
Presentation:
 :
Operator:   Ladies and gentlemen, thank you for standing by and welcome to the Q1 2020 Ventas Earnings Conference Call. At this time, all participant lines are in a listen-only mode. [Operator Instructions].   I would now like to turn the conference over to your speaker today, Mr. Juan Sanabrial.  
Juan Sanabrial:   Thanks, Cindy. Good morning and welcome to the Ventas conference call to review the Company's announcement today regarding its results for the first quarter ended March 31, 2020.   As we start, let me express that our projections and predictions and certain other statements to be made during this conference call may be considered Forward-Looking Statements within the meaning of the Federal Securities Law. The Company cautions that these forward-looking statements are subject to many risks, uncertainties and contingencies and stockholders and others should recognize that actual results may differ materially from the Company's expectations, whether expressed or implied.   Ventas expressly disclaims any obligation to release publicly any updates or revisions to any forward-looking statements to reflect any changes in expectations. Additional information about the factors that may affect the Company's operations and results is included in the Company's Annual Report on Form 10-K for the year ended December 31, 2019 and the Company's other SEC filings.   Please note the quantitative reconciliations between each non-GAAP financial measure referenced on this conference call and its most directly comparable GAAP measure as well the Company's supplemental disclosure schedule are available in the Investor Relations section of our website, www.ventasreit.com.   Before I hand the call off to Debra Cafaro, Chairman and CEO of the Company. I would like to note that, we posted an investor presentation this morning on our website, which includes a COVID-19 business update to this helpful information that the team will reference in our prepared remarks.   With those formalities out of the way, I will hand it over to Debbie.  
Debra Cafaro:   Thank you, Juan. and good morning to all of our shareholders and other participants and welcome to the Ventas' first quarter 2020 earnings call. I sincerely hope that, you and yours are safe and healthy.   Today, the Ventas team is working remotely, but we are together in spirit as we outline our outstanding first quarter results, describe the challenging conditions in the markets, the economy and or Company brought on by the terrible COVID-19 pandemic, discuss near-term business trends and evaluate the macro outlook.   At this time, we face unprecedented conditions nationally and globally created by the pandemic. Those of us in real estate has been around a long time have managed through many severe crises over the decades, including the 9/11 terrorist attacks and the great financial crisis, and the deep recession that followed both. Yet today's complex mix of public health, remote working, economic, operational and market conditions make this pandemic a uniquely challenging adversary.   Let me begin today by setting the stage and then outlining the swift and decisive actions we have taken to ensure that Ventas remains strong and stable. As we rolled into March, we were excited to see how our previously announced initiatives were gaining traction and making an impact and how well our overall enterprise and each of our business lines were performing.   You can see the power of our diversified business model in the strong normalized FFO per share results we reported today at $0.97 per share, inclusive of the financial impact of COVID-19 toward the end of the quarter. In short, we were hitting on all cylinders with terrific momentum.   As soon as, we realized the potential scope and impact of the novel Coronavirus in February and early in March, we identified as our key priority that health and safety of Ventas’ employees and their family and the employees patients and senior living residents in our 1200 healthcare sites.   Although this particular crisis reflecting unique combination of forces, our experience, deep analysis based on early real time inputs and core principles have given us a solid framework for action.   Here are some of the strong measures we have taken to preserve and protect the Company and the many stakeholders who depend upon us. We have devoted significant efforts to support our tenants and operators across our portfolio during the COVID-19 pandemic.   We have established financial support programs for those who are experiencing financial hardship. We have assisted operators, who may be eligible for complex and various government programs, and we have leveraged our national scale to help operators source supplies, including scarce Personal Protective Equipment or PPE.   And today, we have announced a powerful new initiative for Ventas Senior Living Operators. Ventas will be providing access to COVID-19 testing kits and analysis from Mayo Clinic laboratories without charge to certain of our senior housing operators to further enhance safety at Ventas communities by accelerating employee testing.   Ventas and Atria working through Atria's ongoing relationship have secured access to testing capacity in excess of 30,000.   Atria is already nearly done testing all of this 14,000 U.S. on site and regional staff with approximately 9,000 results in less than 1% of Atria's employee tests have been returned positive.   Combined with digital tracking and tracing and appropriate use of PPE, Atria is building a new normal model to run its senior housing business safely and thoughtfully. In a positive sign, Atria has moved in 300 residents since early March all under full quarantine and PPE protocol.   Ventas plans to make available to certain of its other operators at least 10,000 COVID-19 test kits and analysis from Mayo Clinic Labs, ESL will be the next Ventas’ operators to use this testing for its Ventas communities, and it is already getting ready to test all this staff in May.   We look forward to finding more ways to work with Mayo Clinic Labs and our operators to further enhance safety in our communities for residents and caregivers. We will continue to evaluate additional action as appropriate.   Second, on our action hit list, we move early to review and implement our pre-existing business continuity plan. So, we could maintain a high level of productivity and manage a seamless transition to remote working arrangements.   With an interdisciplinary team of Ventas leaders coordinating our efforts, strongly IT support and capabilities, full buy in by our employees and enhanced communication. The company experienced no downtime and we have been highly effective during these challenging times. I'm so proud of how Ventas employees have reacted in rally and I want to thank them for their extraordinary efforts.   Third, we are pleased that we have reached a positive consensual resolution of our Holiday lease. After receiving full rents from Holiday since lease inception in 2013, through the end of the first quarter 2020. We have now received an additional $100 million in cash and secured notes.   We have entered into a new management agreement with Holiday for a 26 independent living assets and we have terminated the Holiday lease all effective April 1. This management structure retains our upside in our 26 communities and provides us with operational flexibility. We appreciate Holiday management's engagement and cooperation to complete this transaction.   Fourth, we were excited to augment our leadership team with Justin Hutchens and Carey Roberts when they join Ventas on March the 4th. Justin and Carey have added new energy and insight to our tight knit group at this crucial time. They've already made many meaningful contributions to Ventas. As we have collaborated to analyze and attack the business challenges presented by the pandemic.   Our experience has instilled in us the importance of liquidity in a crisis. As a result, we shared the courage of our convictions in mid-March by drawing on our revolver and then issuing senior notes generating $3.3 billion in liquidity. This financial flexibility will serve us well as we manage through to the other side of the COVID-19 pandemic.   In addition, we further enhanced our financial flexibility by acting immediately to reduce 2020 capital expenditures by $300 million, mainly by pausing certain of our previously announced ground-up developments that were not yet substantially underway. We are also carefully reviewing other areas of our Company for cost savings, including general and administrative expenses.   At the same time, we promptly withdrew our financial guidance on March 17th, nearly two months ago, when our early analysis informed by real time data let us to conclude that our financial performance could be materially affected by the pandemic. Our foresight proved correct and we fulfilled our commitment to transparency to our stakeholders by the actions we took in a timely way.   Finally, Ventas has served and continues to work tirelessly as a proactive and evidence-based advocate for seniors as federal policy makers. Working with industry groups and in alliance with senior living CEOs, we are demonstrating the crucial role senior living care providers play in protecting our senior population that is particularly vulnerable to this novel Coronavirus.   While we have taken plenty of actions, policymakers have done exponentially more. The Fed, the administration and Congress have implemented a comprehensive array of bold policy actions to partially mitigate the virus' severe implications for public health, capital markets and the economy.   Many businesses and households, including many of our tenants and operators have already benefited from this arsenal of federal programs. With this powerful support and more financial relief likely to follow, it is our responsibility now to take action to safely and responsibly move our Company toward a new normal.   As we do so, our visibility is limited and uncertainty remains very high. Indeed, we faced the COVID-19 paradox on the one side, reputable models and even certain government projections show an expected increase in COVID-19 confirmed cases and mortality numbers in many jurisdictions. These expectations if they materialize, could derail even the best laid plans for economic recovery. And this morning we saw a historic levels of unemployment claims in the U.S.   On the other hand, there is palpable optimism in the air as most states plan staged re-openings of their economies and businesses, many companies including ours are preparing for a gradual return to office work, patients and physicians are scheduling appointments in elective procedures, families are making deposits for senior housing move in, universities are planning to welcome students in the fall, and most importantly, our best scientific and medical minds are racing to find treatment, cures and vaccines for the Coronavirus.   We are proud to say that, many of our key research and innovation university relationships and tenants, including Duke, Wake Forest, Penn, Yale, and Integral Molecular are at the forefront of this research. All these promising developments provide hope for a speedier and sustained bounce back.   We don't have to know how these opposing trends will play out. Our job is to preserve and protect our Company and our stakeholders, and be ready for a variety of scenarios and opportunities. Before closing, I want to address our dividends in the context of this COVID-19 uncertainty.   As you know, we declared and paid our last quarterly dividend in April. Because we normally pay our next dividend in July, our board will consider the dividends in mid to late June. As it always does, our responsible and experienced board will make a decision using it is good faith business judgment, taking into account all of the information available to it at that time.   In a situation like the fast moving rapidly changing global pandemic, we have the advantage of aggregating and analyzing the best and most current information available in order to make the optimal decision.   The cycle test events as team and the Company are well prepared to manage through current conditions and to take further action as necessary. Guided by our experience, analysis and ethics, we will safeguard our employees, our senior housing residents and caregivers, our capital and our reputation, so that Ventas will remain a leading healthcare property owner in the businesses and geographies where we invest a desirable employer and an attractive investment vehicle.   And now for the first time, I'm pleased to ask Justin Hutchins to address you about Venta’s senior housing business.  
Justin Hutchens:   Thanks, Debbie. Let me just start off by saying I'm extremely excited to be working with the Ventas team. Given the circumstances, I have certainly had the opportunity to jump right in and immediately put my operating experience to work.   I'm also happy to be working again with long standing colleagues and industry leaders like Atria, Brookdale, SDL, Holiday, and Sunrise. COVID notwithstanding, I see great opportunities ahead for Ventas in its senior housing business.   In my first Ventas earnings call, I would like to discuss the momentum of our SHOP, the same-store portfolio showed in the first quarter. Outline how Ventas has worked with integrity to support our tenants and operators during a very challenging time. Describe the operational and clinical environment in SHOP, in triple-net, delve into April and May trends and provide our outlook for safe and staged reopening in senior housing.   Our SHOP portfolio started the year ahead of our expectations and with good momentum. Sequentially, NOI and our same-store SHOP portfolio grew 2.3% in the first quarter with COVID costs embedded.   Without COVID impacts NOI grew 6% versus the fourth quarter, with credit due to solid sequential performance from Atria through strong rate growth and expense control, and some welcome stabilization from ESL.   As expected, the year-over-year same-store SHOP comparisons were negatively affected by six million in COVID costs incurred in the quarter. The reduction in occupancy as a result of COVID in the back half of March as well as the previously discussed lower star point heading into 2020. Ex-COVID costs the year-over-year, same-store NOI would have declined 6.9%, better than our expectations given the difficult prior year comparison.   While we are mostly focused on the impact of COVID-19 to our operating performance, it is worth noting new construction starts in senior housing continue to decelerate with the first quarter of 2020, having the lowest number of new starts in several years at 1,000 units in Ventas markets.   Moving to our support for senior housing tenants and operators. I have been proud that Ventas has been out front and willing to work with integrity in support of our senior housing tenants, who are on the front lines of caring for seniors. This support has taken many forms.   I will just focus on some creative programs we have offered to our triple-net tenants. The company offered support to its triple-net senior housing tenants affected by the COVID-19 pandemic by implementing a 25% rent deferral program in April to enable them to care for seniors, purchase needed supplies and pay employees. This program ultimately reduced April cash rent receipts by approximately $3 million.   Adjusting for this tenant support program, tenants paid substantially all triple-net senior housing rents in April. For the month of May, the company offered qualified senior housing tenants the opportunity to pay up to 25% of their rent with cash as escrows and security deposits and based on participating tenants, we expect about $2 million of our rent to be paid this way.   We are encouraged to see that, some of our tenants have availed themselves of government relief programs for which they are eligible. We will continue to engage in constructive ongoing dialogue with our triple-net tenants regarding their COVID-19 challenges on a case-by-case basis.   We have many tools available to us to work through a near-term conditions including our backstop of corporate and personal guarantees in over $100 million of security deposits that stand behind these lease obligations.   Turning to the clinical and operational environment. These trying times underlined the importance of partnering with true industry leaders. We have been inspired by the tireless work of our operating partners to keep seniors safe.   Senior housing operators across the industry continue to aggressively implement protocols to protect against COVID-19. The result of these protocols is that almost all operators are only offering virtual tours and at the present time, about 29% of our 400 SHOP communities have suspended their move-ins.   In terms of the clinical impact on our SHOP portfolio as of April 30, it is a tale of two cities. Having a large New York and New Jersey footprint is a strategic advantage for Ventas, but those States where the epicenter for the COVID-19 infection and mortality rate.   On a full portfolio basis, about a quarter of our SHOP communities experienced at least one positive COVID-19 resident diagnosis since the beginning of the pandemic, registering accumulative percentage of resident cases at slightly over 2% of the resident population. Excluding New York and New Jersey, these figures improved dramatically with only 1% of our residents cumulatively effective since day one.   In our triple-net senior housing portfolio benefiting from geographic diversification, the percentage of resident cases is 1%. As is best practice, the care providers to great lengths to isolate or transfer to a higher acuity setting, the limited number of residents who receive positive diagnosis.   Brookdale in particular has been compassionate, but also fairly disciplined and rigorous in its preparation for and management of COVID conditions for the benefit of residents and their families.   In SHOPs, as a result of restricted access to communities nationally, April move-ins approximated 25% of typical levels. While overall move-outs were largely in-line with historic patterns. April average occupancy was approximately 82.4%. As of May 1, spot occupancy was estimated as 80.7% representing a 330 basis points declined since the beginning of April based on interim information provided by Ventas operators.   When excluding New York and New Jersey, occupancy would have declined to 280 basis points. Operating expenses are trending around 10% higher, particularly for labor and supplies, including PPE. These revenue and expense trends we are seeing for April, are expected to continue in May.   Financial and operational trends are expected to be directionally similar for our triple-net portfolio in the second quarter. For senior housing overall, as we look beyond the second quarter, there are three critical considerations we are monitoring that will materially affect the outlook for senior housing.   One, timing of reopening of communities to physical tours and move-ins. Two, cost and access to labor. Three, local demand characteristics including evolving protocols required to protect against the virus. The timing of openings will be driven by state specific guidelines, CDC guidelines and local community considerations. Ventas along with our operating partners is closely tracking state specific guidelines and COVID infection curves in each of our markets.   I'm encouraged to report that we have roughly 300 deposits for move-ins, which is a good sign of ongoing demand for our senior housing communities. Senior housing operators will find success in many ways, including and most importantly building trust with prospective residents and their families by demonstrating a concerted effort to keep communities free of infection. To do so, we anticipate elevated levels of costs over the course of the next several months.   Trust and confidence in senior housing or the near-term will be supported with best in class infection control practices, availability of PPE and testing residents and employees. As Debbie described, Ventas has played an important role alongside our operators and tenants to combat into pandemic and helping operators prepare to open successfully.   Through this challenging stretch, we continue to resolutely believe in the long-term value that senior living offers residents and their families and are sharply focused on positioning Ventas’ senior housing business for long term success.   With that, I will hand the floor to Pete to discuss our office business.  
Peter Bulgarelli:   Thanks Justin. We are certainly glad to have you and Carey on board. I will quickly touch on the first quarter results for our office segment, which represents 27% to Ventas NOI and then focus on the latest trends in our latest second quarter COVID framework.   For the first quarter of 2020 office same-store cash NOI increased by 5.8% year-on-year. This outstanding results was fueled by our R&I portfolio, which grew 22% driven by strong lease up and complimented by strong performance from the MOB portfolio.   In R&I, first quarter average rent per square foot was up 9.4% and occupancy was robust at just under 97%. Strong performance at our university based developments affiliated with University of Pennsylvania and Philadelphia and Washington University in St. Louis fueled our growth. Complimenting the fast growing R&I business is our MOB business. MOB same-store cash NOI for the first quarter of 2020 increased 1.9% year-on-year, also above our expectations.   Now let's shift to the latest COVID trends we are seeing in our office portfolio. I will start with medical office. Our top priority has been to partner with our tenants and the associated health systems to ensure the safety of health professionals, patients and our employees.   We have sourced substantial amounts of PPE, coordinated visitor screening, licensed short-term spaces, set up drive-through testing centers in our parking lots, provide a supplemental cleaning and otherwise supported our tenants during this challenging time.   We are happy to report that all of our buildings are open and none of our site based employees have tested positively for COVID-19. We sincerely thank all of our on-site employees and partners who fight the fight every day. We are very proud of them. I will also say regarding our MOB business, that parking receipts have slowed and while safety concerns have caused an increase in cleaning costs.   Given the current uncertainty, the pace of new leasing has slowed. However, we still leased 573,000 square feet during the first quarter and 381,000 square feet during April, with an additional 200,000 square feet of leases at the letter of intent stage.   Also, tenant retention has increased. I'm proud to say that MOB reported record retention of 83% for the trailing 12-months, 90% retention for the first quarter, 94% retention for March and an outstanding 98% in April.   Turning to our R&I portfolio. Our R&I buildings are a 100% open and are supporting critical research focused on the detection, prevention, and cure of COVID-19. We are proud to be partnered with leading research institutions such as Yale, Penn Gene Therapy Center, Wake Forest Health Sciences, Virginia Commonwealth University, Integral Molecular, Alexion and others in fighting this virus.   And we look forward to expanding our portfolio with other leading research institutions such as Arizona State and University of Pittsburgh in new under construction, world-class research building.   As previously mentioned, our R&I portfolio is 97% leased with an active leasing pipeline. Last phase continues to be in high demand. Net-net as of April 30th, we had 91.5% occupancy in our office business, representing 150 basis points year-on-year increase from April 2019. From March 31st through April 30th, we experienced a 10 basis point increase in occupancy for MOB and a 10 basis point increase for R&I.   So, let's talk rent payments. During the first quarter, our tenants paid essentially 100% of the office rent. Our historical bad debt expense has only been 20 basis points. We have high quality tenants that pay their rent.   In April, our tenants paid 96% of office rents. We expect a significant proportion of the unpaid rent to be ultimately collected. And I’m encouraged that so far in May, our office tenants have paid nearly 80% of the rents due, to-date we are seeing a faster payment rate than what we experienced in April.   I will say the tenants experiencing the most pressure are the smaller third party position groups in MOB, the smaller private companies in R&I and retail. Taken together, these customer segments represent a relatively small portion of our office portfolio. We are supporting these tenants by raising awareness and assisting them with securing federal relief.   On a selective basis, we are also offering to differ May rent for these small tenants to be repaid no later than the fourth quarter. To-date only a small number of tenants who have utilized the rents deferral opportunity.   Supporting the durability of our office portfolio are a couple of our additional facts. First, our MOB portfolio is largely on campus 71%. We also have a high level of acuity in our buildings, with 88% of our physician tenants being specialists. Our buildings and our tenants are essential to the delivery of care during this difficult time. Less than 10% of our tenant suites closed during the pandemic.   Second, as of May 7th, over 80% of the MOB NOI is in states that have either reopened for elective procedures or have announced the resumption of elective procedures. In locations that have reopened, we are seeing material increases in activity, although still below pre-COVID levels.   As a reminder that our nation is resilient and that normalcy returns following catastrophes. I'm happy to report that Ventas is delivering [Technical Difficulty] that was devastated by Hurricane Michel in 2018.   With that happy news, I will pass the turn to Bob to finish up our prepared remarks.  
Robert Probst:   Thank you Pete. I will start with our triple-net lease portfolio overall before I close with some enterprise level commentary. The triple-net portfolio grew same-store cash NOI by 3.9% year-over-year in the first quarter. Growth was driven by in-place lease escalations, and a $3 million cash fee received in the quarter from capital senior living.   Trailing 12-months coverage as of the fourth quarter of 2019, for the overall triple-net portfolio for triple-net senior housing remains stable at 1.5 times and 1.1 times respectively. Post acute coverage declined sequentially by 10 basis points to 1.3 times, due to a decline in volumes at Kindred, driven by managed care and purposeful reduction of non-compliant patients.   Adjusting for the 25% rent deferral program in senior housing, we collected close to 100% of our overall expected triple-net portfolio rents in April. We have already received almost a 100% of triple-net healthcare rent for May and we are on-track with triple-net senior housing May collections.   We expect the impact of COVID on our triple-net healthcare rents from acute care providers to be muted in the second quarter. Acute care hospitals have been impacted by the reduction of elective procedures, but have had significant access to government funding and support.   Additionally for Ardent, as of May 1st, all 10 of the Ventas owned hospitals have reopened or will reopen in May for elective procedures. For the post acute providers in our triple-net health care portfolio, volume trends have varied. Deltek, Ventas has been higher than budgeted, the costs have increased. We expect that the concern over respiratory disease will enhance Kindred Deltek business going forward.   Urban census initially declined due to lower surgeries and acute care volumes, but census has improved since mid April. Smiths are experiencing notably higher mortality rates with census down dramatically and the most profitable rehab patients also down. Positive post-acute trends include access to government funding, relief from site neutral pricing, waiver of length of stay requirements and the 2% sequestration delay.   I will close with some comments regarding the overall enterprise and our financial position. I want to underscore how pleased we are with our first quarter results including property performance ahead of our expectations, record quarterly revenues, strong FFO delivery of $0.97 per share and enhanced balance sheet 5.7 times of net debt to EBITDA and excellent liquidity. And we took decisive action in the face of the pandemic to bolster our financial flexibility.   In March, we drew $2.75 billion under our $3 billion revolver and followed it up in early April with a $500 million senior note issuance. As a result, as of May 6th, Ventas has approximately $3.2 billion in cash and cash equivalents on hand with no commercial paper outstanding. We also have very limited debt maturing in 2020 or 2021 and we have the ability to extend our revolver for up to one year.   We plan to bolster financial flexibility by reducing 2020 total capital expenditures by nearly 300 million to a total of 500 million with the decline led by pausing ground-up developments not yet substantially underway. Notably one used to be in Philadelphia and 42/10 in St. Louis.   Our ongoing development projects are on average 81% free leaks to high quality credit tenants in the R&I business. I note that Ventas has a $400 million committed construction line of credit to fund development with $250 million of available capacity as of the end of March. Ventas is expected unfunded investment in all of ground up developments in 2020 net of committed financing is approximately $100 million.   In addition to conserving CapEx, the company is reviewing its cost structures across the enterprise, including its SG&A and organizational costs. As Debbie says, we are on it.   Given our early understanding of the potential impacts of the pandemic, Ventas went through a previously issued financial guidance on March 17th. We believe the adverse impact on our operating results and financial condition will be driven by many factors, most of which are outside of the Company's control and ability to forecast.   Wherever provide investors with incremental observations and transparency, we included today the investor deck outlining our COVID response and latest business trends, as well as expanded disclosure as summarized on Page 44 of the supplemental.   To close we are pleased with our start to year and with the actions taken thus far, and are committed to continuing to take the actions necessary to manage through these unprecedented times. That concludes our prepared remarks.   Before we start with Q&A, we are limiting each caller to two questions given a busy calendar request from a few analysts to be respectful of everyone on the line. Also, given the fact that we are all remote, we will have Debby quarterback to the QA and to pass questions to the Ventas’ team if needed.   With that, I will turn the call back to the operator.  
Operator:   [Operator instructions] Your first question comes from Nick Joseph from Citi.  
Q - Nicholas Joseph:   Thank you, I appreciate all the color and specifically on April and May rent collections for net lease. You addressed Holiday this morning, but you expect additional net lease restructurings over the next few months?  
A - Debra Cafaro:   Good morning Nick its Debby. I'm going to ask Justin to comment on that.  
A - Justin Hutchens:   Thank you Debby. First of all, I think it is important to know, our biggest priority is that our operators are looking out for the health and safety of our residents in our communities. That is priority number one, in the near-term.   I will also point two, as I mentioned in our prepared remarks that we have already started to take action, we mentioned the rent deferral in April, we mentioned the opportunity for tenants to pay down rent - pay some of their rent with their cash escrows in May and that the Holiday restructuring.   What we are committed to do is to take action that is going to give us the best opportunity to create value in a portfolio and work with our operators to determine the best outcome. It is still early, some uncertainty ahead of us still, but we will certainly be watching everything closely.  
Q - Michael Bilerman:   Debby it is Michael Bilerman.  
A - Debra Cafaro:   Hey Michael.  
Q - Michael Bilerman:   I think Bob mentioned in his comments about sort of looking at all forms of cost within the enterprise. Can you sort of address corporate management sort of pay levels and whether that is on the docket and how investors should think about that interest in the governance perspective, whether there would be any changes from the chairman and CEO role which you continue to maintain?  
A - Debra Cafaro:   Sure, and I'm happy to talk about that and turn it over to Bob, for a little bit more detail. But most of our executive compensation is very aligned with shareholders and is the vast majority of which is in the form of performance based equity compensation.   When you think about the overall enterprise, I'm going to turn it over to Bob to talk about some of the insights he has about making sure that the company is efficient and cognizant of the environment that we are in.  
A - Robert Probst:   Sure. This is an analysis Michael, that again pre-COVID that is the analysis of our SG&A. We are well underway in that analysis. Everything I would say is on the table, as we think about that. I would expect to have some more news this quarter as we are well underway on that analysis and we do see opportunity. But at the end of the day, we have a 20-year record of being efficient and effective and that continues to be our goal and we have a duty to make sure we are doing that.  
Q - Michael Bilerman:   And Debby is there anything on splitting the Chairman and CEO role?  
A - Debra Cafaro:   I think that, consistent with the idea that one of the cost efficient, our expectation is that, I would continue to hold those roles, obviously serving at the pleasure of our shareholders and our Board of Directors.  
Q - Michael Bilerman:   Okay. Thank you.  
A - Debra Cafaro:   Thank you.  
Operator:   Your next question comes from Rich Anderson from SMBC.  
Q - Rich Anderson:   Hey, thanks. Good morning everyone and hello to you, Justin.  
A - Debra Cafaro:   Hi, Rich.  
Q - Richard Anderson:   Hey thanks. Good morning everyone and hello to you Justin. So, just on the on the Holiday and maybe an extrapolation from that. So EBITDA below rent, so it is obviously a dilutive transaction. But understanding kind of the thought process on taking Sabra’s roadmap on Holiday. And so, I'm curious in the aftermath of all this, do you feel like net lease is becoming an increasingly dying breed for Ventas and you want more control that goes through Brookdale and others or is this a one-off type of thing and you still think that there is a role for triple-net to play in senior housing in the aftermath of all this?  
A - Debra Cafaro:   Good to talk with you, Rich. Let me take that. A couple of things. One is we are pleased with the Holiday transaction. We think it really does a lot of good things and we are happy to take a page out of our friends with matrices book, and we preserved that upside in the assets and a lot of operational flexibility. So, we feel good about that and look forward to optimizing that portfolio.   In terms of the triple-net lease, what I would say is, triple-net leases are a little bit like mortgages in one sense, which is that they magnify ups and downs for the operators and in any challenging environment, they are going to be disfavored. And of course that is the situation we find ourselves in now. In other environments, they could be very attractive to both land owners as well as the operators.   So, I think there is many tools in the bag, many I guess you would say clubs in the bag, tools in the toolkit, and the triple-net lease I think will continue to be one. And there are many ways that you can customize leases also to create alignment.   So, we think the triple-net lease will survive and we think we will continue to be creative and collaborative in how we work with our operators, be they tenants or managers in optimizing our portfolio and then being good partners.  
Q - Richard Anderson:   Okay. I prefer arrows in the quiver, but that is just me.  
A - Debra Cafaro:   That is a good one too. Absolutely.  
Q - Richard Anderson:   And then juxtapose U.S. to Canadian, particularly as it relates to your recent investment there. And how things are kind of performing relatively.  
A - Debra Cafaro:   Yes. I mean, our investment most, we have a significant Canadian portfolio. Obviously, the pandemic has affected assets there as well. Those operators have also received significant government support and one thing we have liked about the Quebec portfolio with LGM is that they have a younger healthier population a longer lengths of stay.   They are very rigorous and have been very active from early on working to protect the residents. Obviously, that portfolio will be effected as well. But there are some characteristics of the LGM portfolio that make it probably a better performer on a relative basis, despite being impacted by pandemic.  
Q - Richard Anderson:   Okay, great. Thanks very much. Good luck everyone.  
A - Debra Cafaro:   Thank you. great talking to you Rich.  
Operator:   Your next question comes from Nick Yulico from Scotiabank.  
Q - Nicholas Yulico:   Good morning everyone. So, in terms of the Holiday restructuring just to make sure understanding how this is going to work. I guess in terms of the money that you are receiving from them the cash, and then the notes and are you going to be actually booking any income from those two items in the second quarter and in terms of the notes, the 9% rate is there any component that cash interest that you are receiving?  
A - Debra Cafaro:   Great question. Yes, the cash and notes are effectively income and I think we mentioned this in the release and so those will be included in net income and yes we actually would expect as part of our ongoing this for ongoing notes we would expect to book and receive some amount of interest income as we go forward.  
Q - Nicholas Yulico:   Is any of that cash income from those notes?  
A - Debra Cafaro:   We would expect it to be cash. Yes.  
Q - Nicholas Yulico:   Okay, thanks. And then I was just hoping to get a feel for you I know you gave us a coverage on Holiday as a trailing number. Is it possible to get the quarterly first quarter EBITDARM for those assets so we can understand exactly from an NOI standpoint as you now have this operating NOI. What the delta is going to be between the old 60 million of cash NOI you got on the lease versus on a real time basis, realizing things are going to move around still, but at least on the first quarter number record what that looks like from a operating EBITDARM basis?  
A - Debra Cafaro:   Right, I mean we have had Holiday in the heat map, obviously and it had been below a 101 and EBITDARM basis. So, as we reported the last time and really what I would say is that just like everything else in the portfolio as you point out, it is really going to depend on how the pandemic really plays out and so I think we will just defer that as we get more real time information about the portfolio. I'm happy to talk to you about it as things progress.  
Q - Nicholas Yulico:   Right, I guess, but I mean you guys do have an actual number I'm assuming that for the first quarter and so I was trying to see if we can least get that number so we can use that as a base to then build off some assumptions.  
A - Debra Cafaro:   Yes, I mean, I think you should, you should look at about a 0.9 EBITDARM coverage, something like that in the first quarter, rough numbers.  
Q - Nicholas Yulico:   Okay. Thank you. I appreciate it.  
A - Debra Cafaro:   Thank you.  
Operator:   Your next question from Vikram Malhotra from Morgan Stanley.  
A - Debra Cafaro:   Hello.  
Q - Vikram Malhotra:   Sorry. I had myself on mute. I just hope everyone in the team is okay and doing well.  
A - Debra Cafaro:   Thank you.  
Q - Vikram Malhotra:   Debbie, you referenced the dividend in your prepared remarks and I just want to clarify one. I'm assuming the dividend is all cash today and just as we think about the dividend going to second quarter, what are sort of the metrics? What are you looking at? Maybe give us a sense of where AFFO versus the dividend could trend even just percentage wise. What are some of your put and takes if you think about the dividend?  
A - Debra Cafaro:   Thank you. Yes, I mean, I think really want to just touch on the fact that, while we are in this period of uncertainty, we generally want to match our decision making speed with what is required. And our Board is going to look at all relevant information when it addresses the dividend, as I mentioned in mid to late June.  
Q - Vikram Malhotra:   Okay. And the dividend is all cash currency.  
A - Debra Cafaro:   It has been. Yes, Vikram.  
Q - Vikram Malhotra:   Okay. And then just second, as you I think you and Bob outlaid the expectations for occupancy in the next few months and it was about a 100 basis points per month in the [RIDEA] (Ph) portfolio. Can you give it a sort of a broader sense of what the ins and outs are in terms of assumptions for move-ins versus move-out and as an aside, if we could request more monthly or more weekly updates, that would be great.  
A - Debra Cafaro:   I'm going to ask Bob to address that Vikram.  
A - Robert Probst:   Sure. I will give you some building blocks Vikram using April as our case study here. We saw move-ins approximately 25% of our historic levels or down 75%, to put the other way. The move-outs have trended pretty consistently with historical patterns and the net of that is approximately a 70 basis point impact on occupancy on a weekly basis.   One way to think about revenue impact is that, and this is the Page 7 of the investor deck. If you haven't seen this is, a 100 basis points of occupancy generally, sequentially on average is about $2 million to $3 million of revenue per month. So, you can do math there.   And we expect that trend as we see it right now to carry on into May. On the expense side, we mentioned about 10% OpEx increase, driven by labor and supplies including PP&E. We had about $125 million of monthly OpEx in our portfolio in SHOP. So, it gives you some more facts if you like to do the math.  
Q - Vikram Malhotra:   Okay.  
A - Debra Cafaro:   Vikram, we thought you love those rules of thumb.  
Q - Vikram Malhotra:   I guess I was just trying to understand the move from the 330 basis points loss in the month of April down to a 100 per month. And I was just trying to understand more specifically like what are you assuming changes from April to May through June?  
A - Robert Probst:   Let me clarify, just to make sure we are on the same page. The 330 basis points was the spot-to-spot effectively beginning to end of April, occupancy moves. And my 100 basis points was simply a rule of thumb to help you.   So, that is an important clarification, beyond what we are seeing in April and early May, I'm not able to project what I think is going to be for the second quarter, for example. But those will give you some building blocks to make your own assumptions.  
A - Justin Hutchens:   This is Justin. And I'm going to add a little color to that might be helpful and I will just preface this that I'm going to give you April average occupancy numbers that are presented by our operators and these are fully vetted, we only report these numbers.   But I'm going to compare March first. So March average occupancy was 85%, April average is at 82.4%. So, there is 260 basis points difference. If you take New York and New Jersey out, as I did in my prepared remarks when I was using spot occupancy, March average is 85.1, April at 82.9. So, the 220 basis point change.  
A - Debra Cafaro:   And that is shows the difference between really the quote and unquote spot, beginning of month to end of month versus the average occupancies for the month. So, let's carry on. Thank you.  
Q - Vikram Malhotra:   Thank you.  
Operator:   Your next question comes from Michael Carroll from RBC Capital Markets.  
Q - Michael Carroll:   Yes, thanks. Debbie, I just wonder if you could you add some color on the testing capabilities that you are providing your operators. I don't know if you said this, if I missed it, but are you able to provide enough tests for all the restaurants at the facilities or what in depth are you able to offer right now if that relationship?   
A - Debra Cafaro:   Great. Good morning. So, we are very excited about this initiative and we are taking the first step with Atria and it is really to accelerate employee e-testing at Ventas buildings with select operators to make our communities safer, and facilitate thoughtful reopening and confidence and trust as Justin talked about.   And so, we have this first compliment of 10,000 testing kits with Mayo Lab’s analysis, which is very important, they have a very high accuracy rate at Mayo, as you would imagine and we really think this is a great first step that we can make available. Atria has already done it, ESL will be next and we will make it available to select operators, principally for their employee testing program.   Once we see how that goes again, we are early days are, still a lot of uncertainty, new testing and tools coming out all the time, we will determine if we want to are-up or if we want to take a different step moving forward, but we think this is a great opportunity to do the right thing and really have a differentiated partnership with our operators and really build that trust and confidence with residents and their families that is so sorely needed.  
Q - Michael Carroll:   And then what is the turnaround time. How long does it take to get to tests and I guess if you have confidence that at least your employees are not affected by COVID. Is there discussion that you could reopen those communities or is it still too early to tell?  
A - Debra Cafaro:   The turnaround is a day or two and it will indeed build confidence as a component of the thoughtful reopening and admissions plan.  
A - Justin Hutchens:   And I will just add one other point to that. This is Justin. All of our operators are considering the move-in protocols at this point, and about 70% of our operators are operating in states that are starting to loosen their stay-at-home policy. So this is a very active conversation.   And the advantage that testing gives you, obviously it gives you a lot more certainty around the potential for spread of infection. But the other advantage is, it is recognized in the CDC guidelines. If testing occurs, then it can accelerate the time that someone can move in, where the regular quarantine is around 14-days and the testing allows for something closer to two or three days.  
A - Debra Cafaro:   Okay. Right. And that is a good point, because the test may also be available for new residents in certain cases. Thank you. Mike.  
Q - Michael Carroll:   Okay. Great. Thanks.  
Operator:   Your next question comes from Jordan Sadler from KeyBanc Capital Markets.  
Q - Jordan Sadler:   Thank you, and I hope everybody is doing well.  
A - Debra Cafaro:   Thanks Jordan. We are.  
Q - Jordan Sadler:   Okay. My first question I think is maybe for Bob, I will leave it to Debby to quarterback. But regarding the revolver draw down and I think some subsequent repayments post a senior note issuance in April. You did mentioned in your conversation that, Ventas is past the peak for mortality in your SHOP assets and in triple net.   And so, I guess I'm kind of curious, I know you are waiting till the last minute to make a decision on a dividend, but what do you want to see these to be the virus before in order to sort of pay down those borrowings and sort of what is that sort of draw down, is that reflecting concerns around the ability to potentially borrow?  
A - Debra Cafaro:   Well, I will turn it over to Bob, but one thing we know for sure is that, having went through many decades of this that, having assured liquidity is the number one, two and three attributes that you want to have to manage successfully through any kind of uncertainty. And so, we have that and that is kind of a golden rule, and it served us very, very well.   In terms of the pass of the peak, again, there are numerous models. There is a lot of uncertainty, but as of a point in time, I'm glad that you noticed data that shows that a lot of our NOI in our senior housing on those triple-net and SHOP is in states where according to a single model as of a certain day, the peak of mortality is behind us. Now that could change again and that of course would affect our outlook.  
Q - Jordan Sadler:   That is helpful. I guess I'm trying to understand the difference between, that assured liquidity as it relates to sort of that revolver borrowing or draw downs versus the dividend that you actually pay. So, there is some uncertainty surrounding the potential to be able to draw or have access to cash. But, it seems like you are not yet willing to sort of cut the dividend down to zero in order to sort of stay off or protect yourself from any uncertainty or maybe I'm misreading that.  
A - Debra Cafaro:   Yes. I mean, I think what we have said clearly about the dividends is that the board will make that decision at the right time, which are dividends is a July dividends historically and so that would basically defer that decision to be made by our board until mid to late June. So, do you have a question for Bob about the revolver draw just Jordon?  
Q - Jordan Sadler:   I think you answered it. But maybe you mentioned Justin. I wanted a welcome back to him back to REIT land. Unfortunately, under these crazy circumstances, but I would have asked him for a review of the portfolio probably not fully appropriate.   Debbie, a couple years ago, you spun off the skilled nursing portfolio at a time when there was no real distress in that sector. Any thoughts surrounding, management and or the potential spin of the seniors housing portfolio or are we just that way too soon, I don't mean to be flippant at all in that question.  
A - Debra Cafaro:   Yes, I think that under skilled nursing, I think I'm glad you reminded us that, that we really did that, at the absolute peak time in valuations at a seven cap on rent at that time. And we really continue to believe that was a very sound strategic decision, particularly as we look at infection mortality rates in skilled nursing now.   I think we given all the uncertainty right now we are focused on health and safety as Justin said really just strong effort to keep Ventas strong and stable and get ready for any scenario and the opportunities in the future. So, we will defer that discussion if you don't mind.  
Q - Jordan Sadler:   Okay. That is fir. Thank you.  
A - Debra Cafaro:   Thanks Jordan.  
Operator:   Your next question comes from Joshua Dennerlein from Bank of America.  
Q - Joshua Dennerlein:   Hey good morning everyone. Glad you are doing well.  
A - Debra Cafaro:   I clearly had too many people with the first initial J in my life. Anyways go ahead I will try to get it right this time.  
Q - Joshua Dennerlein:   I'm just curious on the Holiday switch to the management contract. Was that something you were in discussion with before the pandemic or was it really the pandemic was the drivers that kind of got you going on that discussion?  
A - Debra Cafaro:   Well, we have talked about Holiday for a while and have been pretty clear about what the performance was over the past couple of years. I think we were in a good spot, because Holiday remains current and paying full rent all the way through the first quarter and they have been great about that and we were the sole beneficiary of the guarantors.   So, of course, we had a EBITDAR kind of one-to-one coverage. So, we felt like we were in a good spot. But we did feel mutually that it was the right time to take a different approach and we did so in a way that we think was beneficial for both and preserved upside and on operational flexibility.    So, we are happy that we have done it, and we are going to optimize that portfolio especially now that Justin is here.  
Q - Joshua Dennerlein:   Okay, and then just on the senior housing triple-net rents. I see in your presentation you mentioned I guess sort of May rents are allowing up to 25% of the rent to get paid from the deposits, you expect two million or so to be paid. Do you have a sense of like I guess like back into it, but what percent of tenants are taking advantage of that and I guess later on would you require the tenants to kind of back fill those deposits?  
A - Debra Cafaro:   Right Justin.  
A - Justin Hutchens:   Yes. It is actually very low percentage, if you think about around 30 million of rent per month and only round two million or up to two million we think will be paid with the cash escrows s to carry deposits. So not a lot.   I will mention two other things on the triple-net, one is that as we said it is our May collections are really right on track, so looking good in May. Also some of April tenants that took advantage of that deferral have already paid back.   So that was good encouraging sign as well, and in that case, there were smaller operators that had advantage of government assistance. But our tap was to Allow some liquidity for operators during a very tough and uncertain time, and we are happy that some of the operators have taken advantage of that.  
A - Debra Cafaro:   Thank you.  
Operator:   Your next question comes from John Kim from BMO Capital Markets.  
Q - John Kim:   Hey good morning everyone and welcome Justin.  
A - Debra Cafaro:   Hi John.  
Q - John Kim:   I had question on your deposits, that were mentioned - deposits in senior housing, is there any difference regionally for the New York, New Jersey to have more of sure deposits than some of the other markets not impacted by the virus?  
A - Justin Hutchens:   Hello, this is Justin. Let me just mention first of all, we don’t normally track deposits, because senior housing particularly assisted living, and memory care are what we focused is need driven. So tracking deposits is usually a very short-term indictor of move-in.   But given the environment we started to track recently a lot of those deposits are in Sunrise and Sunrise has kind of a north east footprint with us. So there is certainly some New York and Massachusetts are few for our Sunrise footprint, a lot of those deposits are with them.   There is another stab I will mention, that is round lead which is something that we do track regularly and leads have stabilized over the past few weeks about half of our lead volume, which is you know encouraging in a sense, because it shows that there is still ongoing demand.   Even though we are not doing physical tours, and we are doing virtual tours and in-lue of those there is still ongoing demand and is ahead of that moving pace that we have been experiencing so far. But there is long answer to short question and that is not ready to really point out specific geographies except to say that Sunrise is a big part of those deposits.  
Q - John Kim:   And then Pete mentioned in his prepared remarks the high retention rate you guys had in the medical office business. Can you provide some terms on that, are these short-term, but month-to-month lease expansions and also what the cash leasing spreads were?  
A - Debra Cafaro:   Pete.  
A - Peter Bulgarelli:   So, John, let me just be sure that I understand what you are asking. Well, we talked about was 96% receipt of cash rents overall in the office portfolio. Is that what you are asking?  
Q - John Kim:   No. I was talking about the retention rates, the renewal rates.  
A - Peter Bulgarelli:   I see. Okay, so of our retention rates, yes, the 90% for the quarter and 94% for March and for April is at 98%, which is a phenomenal set of numbers. And yes, I would say it is a mix in some cases are short-term where they are just uncertain about their future.   And so they want to, just take a year extension. In other cases we use the opportunity to take advantage of maybe some rent relief in exchange for a couple years of additional term. So, we have been fairly entrepreneurial in doing that.   And then there is also some practical reasons, I will tell you kind of an interesting story of an [OVGYN] (Ph), who was 70 something years old who was going to retire. But then he sat back and he thought you know what with his shelter at home, maybe there is going to be a lot of bursts next time, in nine-months from now. So, I'm going to extend for one more year. I'm going to work and cash in on this opportunity. So, it is been a mixture of things.  
Q - John Kim:   Great. Thank you.  
A - Debra Cafaro:   Thanks John.  
Operator:   Your next question comes from Lukas Hartwich from Green Street Advisors.  
Q - Lukas Hartwich:   Great, thanks. Whenever we do come out the other side of the COVID pandemic. I'm just curious what you think the recovery in SHOP looks like. Do you expect there to be pent up demand or expect do you expect something more gradual?  
A - Debra Cafaro:   Well, I think our focus right now is really getting through the biggest part of the pandemic Lucas and then there remains really a lot of uncertainty about the depths and then the time period where it will be most active and then what the slope and pace to recovery will look like and those could very significantly affect what the recovery and senior housing looks like.   So, we are really happy for the day when we can discuss that with more specificity in terms of timing, pay and slope. But right now, we are focused on maximizing during the course of the toughest period of pandemic.  
Q - Lukas Hartwich:   Great and then the second one for me is just. Can you provide a little more color on the performance trends of the Sunrise shop portfolio?  
A - Debra Cafaro:   Justin.  
A - Justin Hutchens:   Yep, sure. So, I mentioned in my prepared remarks, the year-over-year stats that were down and the reasons for that, given the fact that we are starting off at a lower starting point. I also mentioned the strong sequential performance.   That performance was driven by Atria and ESL. Sunrise was not as big acontributor to that. There are some less good performance from the sunrise portfolio during that time, so it was actually contributing on a sequential basis, closer to down around 9%.  
Q - Lukas Hartwich:   Thank you.  
Operator:   Your next question comes from Omotayo Okusanya form Mizuho.  
Q - Omotayo Okusanya:   Yes. Good morning everyone. Justin, good to have you back from Jolly Old England old cap.  
A - Debra Cafaro:   Hi.  
Q - Omotayo Okusanya:   Hi Debbie.  
A - Debra Cafaro:   Good.  
Q - Omotayo Okusanya:   Good. I'm glad to hear that. A couple of questions. The first one is actually on the office side. The 96% of April rent collected, is there way you could help us break it down kind of what you know the rates of MOB versus Life Sciences or other differences there?  
A - Pete Bulgarelli:   Hey Tayo. This is Pete. How are you? So, the 96% we are very, very pleased with, and one of the items I did want to point out is that those are receipts. Deferrals are not included in that number, and as a matter of fact for April, there were almost zero deferrals.   We are talking like $150,000 worth of deferrals in April, and those were for retail tenants. So, this is true cash receipts and collected in a very positive way. The MOB Portfolio had a slightly higher collection rate for April and the R&I had a slightly lower number. But really nothing material.   It is interesting that many of the universities are just - they do hand checks. They actually write checks out and it is a slower process in a normal month and it is a slower process in a turbulent month. So, that is my assessment.  
Q - Omotayo Okusanya:   Okay.  
A - Debra Cafaro:   So. I mean those portfolios performed very well.  
Q - Omotayo Okusanya:   Gotcha. Okay. And then on the Life Sciences side, again very strong same-store NOI this quarter, again it has been a positive on the overall Ventas story. So I guess, a little bit surprised when we looked at the development pipeline that is the projects that were halted or all kinds of Life Science Wexford projects and there was one other projects also Life Sciences, where the completion date was deferred or pushed back a year. So, just kind of curious kind of thinking about that business that is such a big positive on your overall story. And again, a part of what is kind of happening on the development front later you know halting or delaying some of these development projects.  
A - Debra Cafaro:   You are absolutely right. We are happy that, we have grown our office portfolio in particularly this exciting Life Science University based portfolio over the past years, it is really, you are seeing the benefit of that right now.   Both in the fact that is where all the action is on the virus and the vaccines in the search for a cure, as well as the diversification benefits we are getting from that portfolio, within the broader Ventas Enterprise.   And so, it is a significant capital allocation priority. We do have a number of ongoing projects with Arizona State and [Pitt] to name a few. And basically, what we did as a matter of I think, really good discipline and approach is that, when we really understood quickly the potential from this Coronavirus, we aggressively paused on the two developments that really were not yet significantly underway.   And so the ones that are ongoing are going to be delivered and we will have our 80% pre-leased and the ones that are on the drawing board have been paused I think intelligently to take a look at capital conservation.   And of course, as I mentioned, we will be able to make a decision on those at the appropriate time as to moving forward and timing and the life, we are happy to have this portfolio and it will continue to be an important part of the Ventas’ story.  
Q - Omotayo Okusanya:   Got you. Okay. One more if you would indulge me. So, when Justin was announced as joining the team and you guys announced your kind of plans around senior housing stock outperformed that day. Today, you announced solid plans around Holiday the stock is outperforming. So, clearly, I think the market is looking for you guys to kind of rectify potential issues that people see in the portfolio.   Just kind of given that, I guess why you guys maybe not a little bit more aggressive in regards to kind of trying to address some of these issues, whether it is some of the triple-net portfolio that still has a weak rent coverage and things of that nature, it just kind of feels like the market is basically saying, do it. We are expecting you to do it, but in the near-term it is just doesn’t seem to be happening as quickly as I think some of us anticipating.  
A - Debra Cafaro:   Well, I would say that we over a long period of time have a good track record of taking action, and that we think is going to be beneficial for our shareholders and we have taken many actions to evidence that whether they have been with Kindred or today with Holiday and we will continue to do that.   We have made a ton of progress, we are proud of what we have done on the leadership front, as you mentioned along with the portfolio front and we will continue to do that with urgency and purpose. And hopefully we will continue to get rewarded for doing the right things at the right time.  
Q - Omotayo Okusanya:   Okay that is helpful. Well I just feel like the runway is clearly open and everyone is waiting for you guys to take off.  
A - Debra Cafaro:   Well, thank you. We appreciate that support. Our wings are flapping. Thank you, Tayo.  
Q - Omotayo Okusanya:   Thank you.  
End of Q&A:  
A - Debra Cafaro:   I think we have one more operator. Anything further? Okay, if we don't have any further questions, I want to sincerely thank you for your time, your attention, your interest in Ventas. We have a great team here that is really committed to protecting and preserving the Company and for really delivering for all the stakeholders who depend upon us. So, we look forward to seeing you on the other side of this terrible pandemic and until then, stay safe and strong. We will see you soon. Bye-bye.  
Operator:   Ladies and gentlemen, this does conclude today's conference. Thank you for participating. You may now disconnect.